Rolly Bustos: All right, to respect everybody's time, and to get started on time, I think we'll begin. Greetings and welcome to the Draganfly Q3 2022 Earnings Call. As most of you know, my name is Rolly Bustos and I’m Internal Investor Relations here at Draganfly. I personally welcome each every shareholder, stakeholder and analyst on our call today. Today's call will begin with our CEO and President, Cameron Chell, discussing the third quarter operational highlights. From there, our CFO, Paul Sun, will discuss the financials as we reported earlier this afternoon. We will then conclude as usual with our Lead Director, Scott Larson, facilitating the Q&A portion. Remember, you are always welcome to reach out to me, investor.relations@draganfly.com if you do not get to your question.  Lastly, I want to remind everyone that this presentation may include forward-looking information and statements. These statements are not guarantees of future performance and undue reliance should not be placed upon them. Any future events or financial results may differ from what might be discussed here. The full forward-looking disclaimer can be found on Page 2 of the presentation and I would be happy to send that to anybody upon request. So, Cam, please go ahead.
Cameron Chell: That's great. Thank you, Rolly. Welcome everyone. We appreciate your time and consideration being with us here today. Jumping right to the heart of the matter, we are pleased to announce that our 2022 Q3 revenue was $1.876 million, so just underneath $1.9 million with product sales being $1.359 million and service sales being $516,000. We had a gross profit in Q3 of $626,908, which demonstrates a margin of 33.4%. At the end of September, our cash balance was $11.7 million. We are on budget as per plan and expect to continue with these results as per budget around the expectations of our Q4 results and our year-end filings. Just as a quick overview, Draganfly is the oldest recognized often or usually as the oldest commercial drone manufacturer in the world. We've been in business since 1998. We've commercialized our first drone in 1998 and we are a total solution provider. So we are an organization that does not provide just an airframe or just a component of something that somebody in the drone industry, a customer would purchase, but rather we provide full turnkey solutions and we are able to do this frankly, because of the amount of time that we've been in the industry, the best strength and the experience that we bring to the table. As noted before, we're excited about this industry for a lot of reasons, other than just being passionate about drones and what the impact will have on society, but also because today it's a $20 billion industry, which is primarily a military focused industry in terms of those revenues, but it's growing to a $40-plus billion industry over the next number of years. And most of that growth will be in the commercial space where drones, where Draganfly is uniquely positioned we think to own significant market share of that growth. Operational highlights from the last quarter for us were in large part focused on the release and now the initial sales of our latest product lineup. We unveiled three particular new products, one being the Draganfly Heavy Lift Drone, the Draganfly Commander 3XL Drone, and the Draganfly LiDAR System. These were actually announced at the end of Q2, in the beginning of Q3 and actually went on sale at the end of Q3. What's really important to note and probably the statistic that I'm most pleased about in Q3 is to look at our pipeline growth and not just from a very, very tactical and a very, very quantitative perspective. We can see where our order sizes are now going from ones and twos and threes in terms of airframes to tens and twenties and thirties in terms of order sizes. And I think this is for a number of reasons. One, the maturing of the industry, the ongoing clarity around regulation, and for us in particular, the actual amount of availability of these particular products. When we initially went public on July 31, 2021, our use of proceeds was focused on building out our capacity to be able to meet the demand which is still the overall constraint around our numbers growing. And we feel that by the end of Q2, we'll be at a spot where we can meet demand and we'll continue to see growth, obviously between now and then. And the other was the new product lineup. So the products that you see before you really are more sophisticated products than what I would suggest a number of our competitors are coming to market with. And I don't mean that in a poor way or a poor reflection on them, a lot of their markets that we're seeing is tends to be towards the small blue UAV or the smaller type drone offerings. And what we're finding is that what our customers and the customers we're dealing with, whether it's commercial, industrial or light military, are really, really focused on sophisticated central deployment or payload deployment that tends to be a bit heavier. And so that's what really determines and dictates to us the airframes that we are building. And so you'll see that middle drone there, that's the 3XL, which we've now had in the number of trade shows. And we see our pipelines incredibly strong looking for this particular product. This 3XL is likely in my opinion anyway, the most efficient drone in the market today. It is actually quite large. It's a few feet or – two and a half feet square, now it's a 26 pound drone, and it can carry 24 pounds of payload. So it stays underneath the 55 pound threshold for – that still allows you to run under a Part 107 license without having to get additional permits or waivers from the FAA. That's very important. The other really key component of this particular product is that it is a direct replacement for the DJI M600, which is their heavy lift drone, which has now been discontinued. And so we're seeing huge demand for this as a direct replacement for that. All the rails on this thing fit all the payloads that fit on the DJI. It's got a familiar type of feel to it other than it can carry a lot more than what it's replacing. And it still fits under that 55 pound threshold. So this application is everything from again, light commercial, industrial, and right through to light military use. On the far left, you'll see the heavy lift drone. That's a drone that's about nine feet across. And that does require special waivers to be flown by pilots from the FAA. It has full autonomous capabilities, beyond visual line of sight capabilities, as does the 3XL as well. And this particular drone right now is a little bit longer lead time, but we've got really solid demand in this and we're working on a number of VV laws certificates with a number of government agencies now in order to utilize this drone. This drone carries an extremely efficient and heavy payload and can be used for anything from additional medical delivery, cargo delivery, logistics for military and et cetera. And on the far right, you'll see our LiDAR System there. So this is a LiDAR with such accuracy that typically before it would have to be flown on an aircraft. And so we're now seeing a generation of LiDAR that's able to fly on a drone. And again, because so many of our customers are coming to us, not necessarily looking for a particular airframe, they're looking for a solution. But the demand demonstrated to us is that we actually needed to provide a turnkey solution around a LiDAR and a drone system. And that's what you see on the far right hand side. And so, while this last quarter was really focused on product, it also really focused on our internal sales process, the integration of our ERP systems that we had installed this year, the integrations of our CRM systems. And ultimately, what it means is that we now have greater inbound traffic driven by our PR, our IR and our customers to our website than we've ever seen. So we're collecting incredible data about what we should be building, how we should be building it, when it needs to be deployed. So the whole maturing of the business right now is probably the thing that's most excited. To me, the demand in the market has always been there or has been there for a number of years, constrained either by capacity or moreover by regulation, both of which are opening up at a really nice pace right now. I've already spoken to this a bit but what's really cool to see is that we now have a significant wait list that's growing in particular for the 3XL drone. And we think this is going to be a particular runaway product for us over the course of the next year, because it's replacing a large install base of products that's out there with a higher degree of efficiency and a greater degree of sophistication and a wider range of payloads that can be used on this particular drone. So again, whether it’s light military or drone as a first responder for public safety or whether it’s carrying chainsaws up mountains for firefighters this thing has got all kinds of applicability and people on the waiting list now, which Paul Mullen has things in full production. I think a couple of other things on the product side, which are noteworthy is that we did unveil our product, our Vital Intelligence product which was born out of the pandemic to the California Probation Parole and Correctional Association at their training conference. And we see a very large pipeline now, excuse me, very large is tough to quantify, but we see a significant pipeline now, in particular correctional institutions and facilities or facilities that require intake personnel or patients or inmates or such to be able to do touchless vital signs. This isn’t a simple thermometer temperature reading. This provides heart rate, respiratory rate, blood pressure, blood oxygen levels and those types of things. And the ROI on this is that it speeds up the intake process, and it also requires a different type of less expensive personnel in order to run it. So this is something that has really started to take off for us in directions that we didn’t necessarily expect but is doing quite well. That same technology is being integrated and has been tested, obviously, on drones as well. So if we think about the applicability of this for search and rescue or for military operations or reconnaissance operations to understand troop conditions and things like that. The opportunity around this particular technology will continue to grow. And we’re really excited about what’s been unveiled here in the last quarter on it. I think it’s worthy to note that understanding our product positioning to our shareholders and stakeholders, we think is an important thing. So down in that bottom left corner, that’s where you would see maybe a greater amount of consumer drones or even prosumer drones or a number of the DGI type or parrot type of products. And those would even be the small, kind of like the blue UAS type drones that are going into some of the military units and such. But as you move further up into that top right hand corner from the bottom left hand corner, you start under – you start moving more to autonomy, artificial intelligence, sensor awareness, things that are really, really important and sophisticated, we think are under greater margin and are really, really important in the commercial and the light military space. These are all systems here that we have built or worked on or that our personnel had worked on. And so you see the vast majority of them continue to skew in the technical sophistication area. And that’s where we’re going to continue to push our market as we see, again – we’ve seen this three or four times now over the last at least my 15 years and probably for some of the other employees who’ve been around even longer than that. I’ve seen at least three cycles of this where we’ve seen new entrants come into the market and they all tend to go down to that smaller airframe. They all tend to push into what I would almost consider a prosumer space. And we’re seeing right now where that is getting very crowded very quickly. So once again, we’re not going to go into that space. We’re going to stay up in, in this upper quadrant. And now this upper quadrant is a bit more regulatory dependent, but the whole industry is regulatory dependent now. So we feel it’s an opportune time to continue to push and move in this direction. Also we wanted to just provide an update on some of the work that we’ve done in the Ukraine. Strategically we have – we believe or at least our realization around work in Ukraine is that in the coming years in particular in the light military and in the commercial and industrial space, if you weren’t present in Ukraine, if you did not have operations in Ukraine, if you were not in their learning, developing improving your products, your services, your techniques, your training, all of that type of stuff with the various players and stakeholders in that environment, you’re going to be asked why in a couple years from now, why you weren’t there. From a perspective of like – excuse me, that’s where all the best pilots are coming out of, it’s where all the new techniques are being learned, it’s where the new technology is getting battle tested, literally, very quickly. And so, as we are – what we’re now already seeing in our International business, whether it be India or the Middle East, one of the first questions they ask is, are you in the Ukraine? What are you learning from Ukraine? What is your equipment doing there? And because we have demonstrated the ability to be in there, in that theatre and we’ve put people on the ground over there, and we’re working hand in hand with customers. We are able to speak very, very credibly with not just those international partners, but the customers that we’re talking with back in North America as well. So the Ukraine to us is much more important than just the immediate revenue sales over the next number of years, which appear to be trending towards being very, very significant. We’ll talk about a couple things in that regard. But more importantly, as a company that is a focused and dedicated drone organization, what is it that you’ve learned? How have you been there? What credibility you bring to the table from having been there? And what have you learned? I certainly know from our organization, we’ve accelerated in terms of our insights, our abilities, our capabilities, because of the work that we’ve done there. So specifically, we’ve done medical response drones, which are really in many respects becoming a logistics drone that can also deliver many other types of packages in theatre. We have done reconnaissance drones in the area and will continue to do more and more of that. And the other area that was not planned, but has really come across and is a massive market is landmine detection. So it’s going to take 20 years to demine Ukraine, just Ukraine alone. And for every day of war, there’s 30 days of demining that has to happen. And there’s hundreds of millions of dollars of budget per year that’s required to do that demining. And this isn’t demining in remote regions that people are not living. I mean, this is city urban centers, it’s areas around cities, it’s areas lining the rivers, it’s agricultural land, it’s the industrial land, but it’s just unbelievable the amount of mining. And in fact, the entire offensive right now where we see Russia pulling out of Kherson. Actually the only thing that’s delaying that from even happening faster, we see it happening now, but from a couple weeks ago, is all the lines that were laid. So there’s a big, big push in this area, and we’ve got some very exciting news coming up in that regard with the amount of work that we’ve done, the sensors that we have, the flight and testing facilities that we’ve built, et cetera. So along that area too, I think it’s also important to note that we are in, in-country there. We have working relationships with industry, with ministry, with civil departments on many, many different levels. And if you’re not willing to be there doing the work, you’re not going to get the work. And so the fact that we have been there and made that commitment and the relationships that we built there, we think is going to garner us years and years of work, not just during this very unfortunate time, but during the rebuilding process for not just Ukraine, but all of Eastern Europe. And the inroads that’s now actually giving us in into the European market, the credibility in the mean region and in India as well has been really significant. So this is an unfortunate conflict. But for a company like Dragonfly, it will turn out to be an incredible opportunity for us to further develop our abilities and grow our organization. At this point, I’d like to turn it over to Paul Sun, our CFO to run through our specific results for Q3, and then we’ll go to some Q&A from everybody led by Scott Larson. Thank you.
Paul Sun: Thanks very much, Cam. Appreciate it. Yes, so just looking at this slide here on the left. You basically see a caption of the income statement. It’s a snapshot of Q3 revenue for the third quarter, as Cam mentioned was $1.36 million of products and $516,000 coming from drone services. So basically it was a flat quarter, just down 1.1% year-over-year from the same period last year. Looking at gross profits decreased by about $146,000 this quarter over the same period last year. Gross margin as a percentage of revenue was a 33.4% this quarter versus 40.8% in the same quarter last year. That’s a result of more sales coming from some lower margin products versus those sold in Q3 of last year. So, as you know the sales mix varies from quarter-to-quarter. And then the total comprehensive loss for the quarter was $4.99 million compared to income of $23.9 million in the same quarter of last year. And for those that follow us, know that there’s an accounting treatment where there’s a non-cash change, and fair value derivative that’s included in these numbers. So in this quarter, the non-cash gain is $305,000 from that derivative liability. So the comprehensive loss would’ve been $5.3 million. And if you ex up the non-cash change and fair value of derivative liability from the same period last year of $30.6 million the loss would’ve been $6.6 million. So the year-over-year improvement in the loss was mainly attributed to a decrease in insurance professional fees slightly offset by an increase in wages as the company scales. The loss per share would be approximately $0.16 even including these variations. So it, it is as reported. Switching to the middle table, which is the balance sheet, you can see our total assets are at $29.4 million for the quarter. The deployment of cash and reduction of prepaids, is probably the main contributor for the assets there. Working capital surplus as at September 30, 2022 was $18.5 million would’ve been a surplus of $18.9 million. And shareholders equity would’ve been $27.7 million versus the $26.8 million shown here, again, if we ex out that non-cash fair value of derivative liability of $391,000, and we continued to have minimal debt on the balance sheet. As Cam mentioned at the outset, our cash balance at the end of the quarter was $11.7 million. Now looking at the last table on the right, we just spoke about year-over-year changes. So now we’ll talk about quarter-over-quarter changes. Looking at Q3 this quarter compared to Q2 of last quarter. So revenue for Q3 again, was $1.88 million compared to $2.37 million for Q2 of 2022. Mainly reason here was there were some lower product sales due to expected timing. So, again, things just where the dates land, sometimes it’ll get pushed into the follow quarter. So, we think that’s what happened here. On the gross margin percentage Q3 decreased to 33.4% compared to 42.8% in the second quarter of this year. Again, the decrease is due to the sales mix of the product sold. Operating expenses for the quarter decreased 2.4% from Q2 of 2022, in part due to lower professional fees and insurance costs. And finally on the total comprehensive loss for Q3 2022, we mentioned $4.99 million was the loss compared to a comprehensive income of $640,000 in Q2 of this year. And again, you’ll recall a non-cash change in fair value derivative of $305,000. So if we ex that out, Q3 would’ve had a comprehensive loss of $5.29 million compared to a loss of $5.45 million in Q2 of this year. So making this quarter’s loss better than – slightly better than that of last quarter. And with that, I’ll pass it back to you, Cam.
Cameron Chell: That’s great, Paul. Thanks very much. Appreciate it, as always. So, I think the, certainly the highlight for us was the amount of sales activity, which is by far greater than we’ve seen in any other quarter. We certainly had a number of orders slip somewhat due to supply chain matters and somewhat do just to new production capabilities and capacities increasing. That said, we haven’t lost any orders and we are on budget. So and some of this stuff obviously is pushed into Q4. So again, overall we’re on record pace as Q3, as our Q3 numbers roll through. And we expect things to continue and start to accelerate from this point. So maybe what we’ll do is, I’ll just stop sharing here, and I’ll turn it over to Scott Larson, our Lead Director to be able to answer any questions and very fortunately, we have Paul Mullen, who’s our Chief Operating Officer here with us as well, who’s also available to answer any questions, Scott?
A - Scott Larson: Yes, thanks, Cam. And thanks everybody for joining in. We’re fielding questions from kind of two or three different sources, questions that were emailed in before, questions that are coming through in the chat. So, I’m trying to aggregate these and put them into a single place. So bear with us. We’ll get do as many of these questions as we can. Couple here that came in via email just before. Are there any acquisitions in the pipeline? And maybe I’ll just answer that myself. I think as Cam has mentioned before, the industry is going through some level of consolidation, I don’t think that’s any surprise to anybody out there is that just the way the nature of the industry is, there was a bunch of companies in it. It is going through a consolidation, and we get calls from companies who are lucky to do a transaction, a merger looking to be acquired, looking for financing, looking for anything, frankly, on a incredibly regular basis. So, I don’t want to – there’s nothing that’s being announced, but these are ongoing conversations. We look at a bunch. We have passed on a bunch. We will keep looking at a bunch. We’ll make the most strategic and tactical decisions we can with regards to acquisitions focusing mainly on revenue as opposed to technology, just because we think from a technology standpoint, we’re pretty well positioned, but we’ll be opportunistic. We’ll be opportunistic on all of these. So the short answer to the question is that we are looking at acquisitions. We look at them all the time. There’s nothing that’s, that’s and that needs to be announced right now or is at that point. But when we get there we’ll certainly be announced it, and acquisitions are part of our strategy. It’s part of the mandate that the board has given, it’s part of what the industry is going through on its own. And so we will keep looking at that as on a strategic basis as best we can. Another one here Cam will pass this one back to you. Can you give an update on the timeline for production and first sales of the DDL contract? Is this Q4, is this Q1 next year? What does that look like? Any thoughts or comments there?
Cameron Chell: Yes, sounds good. We’re, from a project planning perspective, we are still targeting Q4 for the first initial rollout of product. But I think the reality is it’s going to, it’ll be pushing into Q1, which isn’t even remotely entirely unexpected for us before the we actually start to see some of that generate. And so maybe what I will do is, I’ll turn it over to Paul a little bit, or not a little bit. I’ll turn it over to Paul here to get his comments. Paul?
Paul Mullen: Thank you, Cam. And we’re continuing to work very actively with the Digital Dream Labs team in product development. We’ve recently seen a new generation of flying prototypes that are reflected – reflective of the character that they’re developing. And we are expecting, as Cam mentioned, to start seeing revenue from that partnership through early Q1, likely with some sort of prototype or collector edition sale, and then scaling up into the larger volumes that were reflected in the initial agreements.
Scott Larson: Another question here is, can you discuss how you think about the push pull between investing in the business to drive future growth and the demand for profitability in the near term? So, Cam, throw this back to you, a couple of comments on the ongoing discussions that we have between looking to grow the business, looking for future, as well as kind of looking at near term in terms of improving profitability, keeping costs to a minimum. How do we think about the balance there?
Cameron Chell: Yes, so a very intricate and complex balance as you know. And I think that the biggest advantage that Draganfly has in this regard is that we have a very experienced Board, and we have a very experienced management team that has grown companies from microcap companies to multi-billion dollar market caps through these product cycles, through rough markets. So the variables aren’t just a matter of, hey, are we going to get more market share by spending more money, or are we going to get the profitability quicker as indicated by the question, it’s complex. So, if the markets are really good and they’ve got an acceptance level around, hey, we want you to get market share, they’re robust, there’s lots of financing, valuations are high, then you’re going to be a bit more aggressive. And that’s certainly where we were attending, let’s call it a year a goal, right? Markets have definitely constrained, pull back. So if we in terms of some of our aspirations. We’ve been prudent with the cash that we’ve got. We’ve been very, very selective around any acquisition talks and we are going to kind of manage that balance. So for us, we have a little bit of a luxurious position because we have the ability to organically grow, and it’s not, and for us it’s capacity issue, not a demand issue. So we’ll continue to invest in growing organically, right, with the products that we now have at hand and selectively around the larger initiatives, the larger business development initiatives that we have. And – but on the acquisition side, we’re going to have to be and want to be very, very selective in terms of like kind of getting orders of magnitude jump in scale. I think one of the reasons that we have a number of acquisitions that are coming and talking to us is because of our internal processes, because of our internal production capacity. Because we are an organically built business that can scale and can do very well at 20% growth or can now handle 50% or 80% or a 100%. So I would say, I’m trying to answer what I think the question is that we’re going to be a bit more cautious around this because capital for the entire market is tight. We’re very confident in our plan right now that I know there’s another question in there. How long is our cash good till, on budget with where we’re at right now, we’ve got cash for next year. And candidly, we’re financeable, like that’s the market pricing isn’t great right now, but the advantage of that is it’s not great for anybody. So there’s a real advantage to companies that are financable right now, even if they do a financing at these lower levels, because then acquisitions are at a massive discount. So anyway, that’s a bit of yes, speculation might be the wrong word in there, but that’s a – it’s a complex answer to a complex question. We’re going to manage it very carefully, cash is king, organic sales is most important, and that’s what we’re focused on.
Scott Larson: Can you discuss how the current sales pipeline directionally? How does it compare to a quarter ago and a year ago? So, is the sales pipeline, is it growing, is it getting smaller? Is the market getting tighter? Maybe just a word or two on that based on kind of last quarter as well as well as 12 months ago.
Cameron Chell: Yes, so I’ll split the sales pipeline into three categories. So the first category, I’ll call it like a product SKU category where we’ve got products that people have got familiarity with, they’ve got a certain spec, they’re looking forward to do certain things, and they just need to order it. And so we’ve got a stronger lineup of that now than we’ve ever had. So we are starting to see a stronger pipeline in that particular direction. Now, the specific products in that area are the products that we talked about earlier in the presentation. They’re tending to be a bit bigger. They’re tending to lean again, more towards the sophistication side. And they’re tending to be able to be multipurpose and have multiple solutions around them, so that’s much stronger. What we are seeing in decrease and it might be just because it’s where we’re focusing, but I think overall the market is not as going to be as robust there is in that prosumer model. And/or there’s going to be continued lots of activity with lots of different companies in there. The second category that I’ll throw in there is services. And so we are seeing our services revenue look to increase, but again, because of the product that we’re bringing out actually allows us to provide services or sell product to service companies at a better ROI. So the – in particular, the three XL just has so many payload capabilities, capacities, right? Where now you’re buying one drone that can do so many things that it’s the switch blade, we’re calling it, or not the switch blade, the Swiss Army knife of the drone space. And so that’s tending to push our services again, much more in that industrial and that commercial side. I mean, they’re looking to use these drones for the demining projects like two years ago. I wouldn’t imagine that we would’ve had a drone that was so universal and so efficient in that regard. So that’s a trend that we’re seeing for us in particular. And then on the solution side, which is the third category, these are the real legal movers. These are the opportunities out there where demining, an entire industry is wide open for somebody they become can in and be the industry leader. And there’s half a dozen of those that we have continued to push forward. There’s probably a dozen of them a year ago. And we’ve paired that down probably to about the half dozen range. One, because we want to make sure that we’re preserving capital. And two, we want to make sure that we’re working on the things that are closest at hand. And so some of those are in the specific delivery space, not the overall general delivery space. Because we think overall general delivery space has still got a ways to go. But there are some very sfpecific opportunities in some areas of public safety and first responder and some different things like that, that are very lucrative, that have budgets applied to them now will be first in regulation. And so those types of solution sets, we see moving towards it. So again, it’s more sophisticated, it’s more b2b, it’s more kind of industrial, commercial, light, military, and again, further away from fly a drone, get a picture typical sensors, RGB, thermal, those are all just table stakes. Now we see a lot of new entrants in that space and we continue to move in that direction, away from that and into the direction that we’ve described.
Scott Larson: Question here, maybe for Paul Sun, is this level of insurance and professional fees a fair run rate assumption going forward? Or should we expect these costs to move back upper, and I think mainly regarding D&O insurance and some of the other things we’ve talked about there.
Paul Sun: Sure. Thanks, Scott. Yes, so when we first went public in the U.S. on the NASDAQ our D&O insurance was quite high. We were a new company on the NASDAQ. So as you can imagine typical insurance from a premium perspective, it was high. In the market, it is high. The market certainly in 2021 was extremely tight. There was only a handful of underwriters. So everybody had high D&O. Now that we’ve kind of been around for a decent amount of time. The insurers kind of view us as less of a risk if you will. So as a result, our premiums have come down. So, fingers crossed, the market dynamic stays the same within insurance, we would hope that it wouldn’t go up or wouldn’t go back up. It would kind of stay where we are. Or if anything, continue to go down as we continue to operate on the NASDAQ. As it relates to professional fees, we are – if you kind of look at our financials, our numbers are getting better from a cash or loss perspective. So we are trying bring certain functions in-house that will lower cost. Things like legal as an example would be one where we’re kind of trying to you know, rein things in and just basically be a bit more thoughtful on where we spend as we continue to scale the company. So hopefully that answers the question.
Scott Larson: Yes. Okay. Good. Okay. So a couple more questions that have come in here. Looking for revenue guidance, looking for a few things like that. I think we’ll probably pause on those. We don’t give guidance at this stage that might happen at some point in the future, but I think we’ll just kind of point people back to our financial statements. There’s all kinds of information in there and as opposed to giving revenue guidance, I think we’ll probably put that on hold for now. But there is a question here Cam, maybe I'll – maybe I'll throw this back to you and then perhaps I'll give a little color at the end of it. But where is the current product demand coming from? Any interesting industry or product color that you can talk about here outside of some of the stuff we've talked about with regards to Ukraine particularly, I guess, but are there any other anecdotes or just a little context around where new product demand is coming from?
Cameron Chell: Yes, so certainly government and things at all different types of agency levels. So whether it's kind of a light military type thing or whether it's public safety and DFR, right? So drone is a first responder. And so lots and lots of agency worked and so, budgets are now coming through are starting to come through for next year that are incorporating these things. There's a certain level of regulation that DFR and different agencies know how to work with now, which is one of the reasons that 3XL was developed, because it can work under a part 107. So that's a significant area. Industrial wise inspection is growing. So whether it's a long form, inspection pipelines, power lines infrastructure facilities, forestry, inventories things like that, that's we're going to continue to see that proven use cases, ROIs there, and now they're just looking for reliable providers and suppliers again, typically North American built in order to do and provide that. And then in and in terms of demand, and then I'll let you finish up with Scott is the international so that, international is, it just continues to surprise me how big and robust that market is. So if we look at and areas like MENA and India in particular the demand that's coming out of there for our particular products and expertise and the initiatives that those governments have in place around inspection, surveillance, agriculture. I mean, they're just massive. Like the numbers are just unbelievable. So but that, those are the interesting, like near term things that we see. I mean, there's other very interesting things longer term but right now, we're trying to keep everything within the perspective of the next year. Scott?
Scott Larson: And I think part of that is actually just based on geopolitics. So a number of countries don't want to buy drones that are made in certain countries. They're looking for North America and they're looking for homegrown, they're looking for drones that kind of fit in with government policy. So on top of the regulatory standpoint, which is the regulatory environment here in North America is more difficult, in certain cases it's more evolved, and the rules are there, the guidelines are there. In some of these other countries, they don't quite have the same framework. And so this is why you see other drone companies doing large initiatives in Africa for drone deliveries and things like that, that would be frankly impossible here in North America or incredibly difficult. So to Cam's point both from a technology adoption standpoint as well as a regulatory environment, and frankly just the whole, just adding the geopolitical context on top of that, the demand for North American made drones is significant. So we'll continue to participate that will continue to participate in that. We get inbound requests on a daily is a stretch, but on a certainly on a regular basis calls from all over parts of the world Africa, Middle East, South Asia, asking for quotes, just product information can we work together to expand the market? So we'll keep working our way through. Those are all difficult conversations. It's on the other side of the planet. It's all kind of tough work, but to Cam's point, some of the stuff that we're doing in Ukraine actually feeds into that. Question here, maybe for Paul Mullen when will the LiDAR product be available to the public?
Paul Mullen: Yes, thanks, Scott. The latter product is currently available. We're accepting request for demonstration, et cetera. Our sales team is actually developing, our funnel on the latter unit. So we certainly, we had to field any requests for further demonstration or technical information on that product.
Scott Larson: Yes. Okay. So a couple more that are coming in here that are all looking for guidance, I'm just going to kind of revert back to that. We don't give guidance maybe one or two. Yes, Cam, this is probably the last question. This is probably the last question. I think everything else we've actually answered here. Maybe talk a little bit about, where you see the industry going over the next kind of five, six months. Is there, are there short term dynamics that are in play? We've talked a little bit about some of the regulatory stuff, but outside of the consolidation do you think this is kind of status quo for the next few months? Or is there something that here that we can expect?
Cameron Chell: Yes, I think the catalyst events within the industry are regulation primarily. I think the other; the industry is quite dependent on markets right now because the industry is in a growth building phase. So the ability to attract or have capital, have confidence in you is really important. But most absolutely, most importantly is execution on a product and service production level, and working with customers on a block and tackle level. The winners in this game, in our opinion right now are going to be the companies that have the best ability to produce product that the customer wants and work on customer solutions. I personally believe the Draganfly’s absolute strategic differentiator is that we, that we know the customer, that we do what the customer needs; we don't see other executive and production team members in the field in various parts of the world. And with all types of customers as much as you do with Draganfly. That is absolutely going to be the key. It's, we're still in a customer education phase of the industry and not that there are some other companies out there that do it well, but I don't think anybody does it as well as Draganfly. So, that's, it's not as big and [indiscernible] as we'd like to suggest, but it's the thing that's going to win this industry.
Scott Larson: Yes, I think that's well said. I mean, we talk about this all the time. We're looking to do things, two things. One is just kind of keep growing organically, keep kind of making those numbers, and then to Cam's point, lay on things that actually have the ability to move the needle and change the entire dynamic of the company. And we'll keep trying to widen the market that we can address through some of those. So with that said, this is 45 minutes, which is exactly how we long, how long we like these calls to be. We've answered all the questions, some of the ones that have been emailed in, if we've missed any, certainly emailed in the invest relations, and we'll get back to those as soon as we can. We appreciate this kind of dialogue, Cam, why don't you go ahead and wrap this up, and then we'll look to close the call.
Cameron Chell: Yes, first and foremost, really want to thank our employees for the incredible work and commitment that they've done. The one thing that's I think tell tale about Draganfly is we don't have problem recruiting. And I am really excited about the people personally that I get to work with on all levels within the company. And I just blown away every single week and month about the things that are being done and how they're being done and how we're looking after customers and the opportunities that are growing out there. It's really cool to be a part of. So thanks for that. I also really want to thank the customers that believe in working with us. Many of our customers are shareholders. Many of our customers, share a passion for what this industry will be and for the mission that they're on internally within their organization and how Draganfly can be a part of it. And these are long-term relationships and obviously really want to thank our shareholders. It has been a very tough market, not just for us, obviously for everybody over the course of the last year, year and a half. And it just feels so nice to be able to sleep well at night knowing that we're growing the business every single week, that we're increasing customers, that we've got great production teams, that we've got incredible, engineering and that it's working, right? We just see the processes happening and I've been through these cycles before in this industry and with other companies that have become billion dollar organizations, and there's no doubt in my mind that this thing's on the same path. So thanks to everybody for your time, patience and consideration. And we look forward to working hard and continuing to hit the numbers. [Call Ends Abruptly]